Operator: Greetings and welcome to the Installed Building Products First Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to Mr. Jason Niswonger, Senior Vice President of Finance and Investor Relations. Thank you Mr. Niswonger, you may now begin.
Jason Niswonger: Good morning. We would like to thank you for joining us today for Installed Building Products first quarter 2015 earnings conference call. Earlier today we issued a press release on our financial results for the first quarter, which can be found in the Investor Relations section on our website at www.installedbuildingproducts.com. On today’s call, management’s prepared remarks and answers to your questions contain forward-looking statements within the meaning of the Federal Securities Laws. These forward-looking statements include statements concerning demand for our services, expansion of our business, improvements in the U.S. housing market and our end market, our ability to strengthen our market position or ability to pursue value enhancing acquisitions and expectations for our financial performance and demand for our services for the remainder of 2015. Forward-looking statements may generally be identified by the use of words such as, anticipate, believe, estimate, expect, forecast, intend, plan, and will or in each case, their negative or other variations or comparable terminology. These forward-looking statements include all matters that are not historical facts. By their nature, forward-looking statements involve risks and uncertainties, because they relate to events and depend on circumstances that may or may not occur in the future. As a result, actual events may differ materially from those expressed and/or suggested by the forward-looking statements. Any forward-looking statement made by management on this call speaks only as of the date hereof. A full discussion of the company’s operations and financial conditions, including factors that may affect our business and future prospects is contained in documents and is filed with the SEC, and will be contained in subsequent periodic filings made with the SEC. New risks and uncertainties come up from time-to-time and it is impossible for the company to predict these events or how they may affect it. The company has no obligation and does not intend to update any forward-looking statements after the date hereof, except as required by Federal Securities Laws. In addition, management uses certain non-GAAP performance measures on this call. You can find a reconciliation of such measures to their nearest GAAP equivalent in the company’s earnings release, which is available on our website. This morning’s conference call is hosted by Jeff Edwards, our Chairman and Chief Executive Officer; and Michael Miller, the company’s Chief Financial Officer. Now, I will turn the call over to Jeff.
Jeff Edwards: Thanks, Jason. And thank you everyone for joining us today to review our results for the first quarter of 2015. I would like to begin with a summary of our operating highlights, followed by an update on our markets. I will then turn the call over to our Chief Financial Officer, Michael Miller to review our quarterly results and capital position. And finally, after our prepared remarks, we will open up the call for questions. We continue to achieve significant growth and value creation since going public in February of 2014. The positive momentum we experienced last year is continuing into 2015. In fact, growth accelerated in the first quarter of 2015 as year-over-year revenue and EBITDA growth was at a higher rate than what we accomplished in the fourth quarter of 2014. This acceleration was driven by our acquisitions, strong same branch sales growth, higher pricing and a more favorable customer and product mix. We could not have achieved these favorable results without the hard work of our local branch operations, successful expansion of our insulation operations and the benefits we are driving from our well established and efficient platform. For the first quarter of 2015, we increased our net revenues 23% to $130 million compared to $106 million in the first quarter of last year. We also remain prudent in managing our cost to deliver adjusted EBITDA of $7.6 million, an increase of 79% compared to a year ago and in line with our expectations for the seasonally soft first quarter. Before I talk about developments in the quarter, I want to expand further on the seasonal impact, lower revenue and a less favorable mix the business has on our financial results in the first quarter of each year. Historically the first quarter represents about 20% to 21% of full year revenues and 10% to 11% of annual adjusted EBITDA. You can see this seasonal trend in comparing 2013 and 2014 second, third and fourth quarters’ higher revenue and adjusted EBITDA to first quarter levels. As demonstrated in 2014, from an annual perspective, our financial model has produced full year incremental EBITDA contribution margins of at least 20%. Now let me turn the focus of the call to our growth strategy and drivers of growth in the quarter. Acquisitions are an important part of our overall strategy. And as we have outlined before, we will continue to consolidate companies within the highly fragmented insulation installation industry. Since going public in February of 2014, we have completed five acquisitions including two acquisitions year-to-date in 2015. The acquisitions we made in 2014 added approximately $9 million to revenues in 2015 first quarter. With over 90 successful acquisitions since our inception, we have the infrastructure in place to identify candidates to successfully integrate newly acquired companies and immediately achieve operating synergies to our scale and national buying power. During the first quarter of 2015, we made a $36 million of BDI Insulation, a highly profitable installer of fiberglass insulation, serving select markets in Southern California, Washington, Idaho and Utah. BDI has nine branch locations with net revenue of approximately $35 million for its fiscal year ended December 31, 2014 and represents a unique opportunity for us to grow our company through a highly complementary business with strong local brands and customer loyalty. More recently, we announced the acquisition of C.Q. Insulation, a 12 year old Florida based insulation installer with two branch locations in Tampa and in Orlando. For the year ended December 31, 2014 C.Q. Insulation had revenues of approximately $6.9 million. C.Q. Insulation primarily focuses on new multi-family residential and commercial end markets which helps diversify our overall revenue mix. There continues to be an extensive pool of potential acquisitions with significant amount of white space on the map for us to grow and we continue to feel very good about our deal pipeline. Our asset light business model generates a significant amount of cash which we are using to invest in our acquisition strategy as well as other value creating initiatives. We remain focused on selectively acquiring market leading insulation installers in highly attractive markets. To supplement our internally generated sources of capital and support our acquisition strategy, we entered into a new five-year $200 million senior secured credit facility which Michael will discuss in more detail in his remarks. In the first quarter of 2015, we continued to realize significant growth above the growth in U.S. residential new construction, improved pricing and operating leverage to produce another quarter of strong revenue and profit growth. In addition, our size, scale and reputation in our local markets are helping us gain market share. Our same branch sales grew approximately 14% during the first quarter. In our primary single-family end market, same branch sales improved approximately 17% compared to an increase in U.S. single-family housing completions in the first quarter of less than 2%. Our ability to drive same branch sales growth in excess of the pace of the national housing recovery speaks to our customer loyalty and leading market positions in some of the strongest U.S. housing markets. We also benefit from our national scale, longstanding supplier relationships and a broad customer base that includes production and custom home builders, multi-family and commercial contractors and homeowners. Looking at the broader market opportunity, we continue to believe there is significant run rate for improvement in U.S. new residential construction. According to the U.S. Census Bureau’s historic data, in the February 2015, Blue Chip consensus housing starts forecast, total U.S. housing starts are forecasted to increase at a 12% compounded annual growth rate from 2014 to 2016 with a meaningful acceleration in activity in 2016. We expect residential end markets to benefit from various factors including improving employment, rising household formations and historically low mortgage interest rates. In conclusion, based on our first quarter results, we are certainly encouraged with how 2015 has started. We have a solid platform to take advantage of favorable trends within our industry and end markets and the capital to support our long-term growth plan. Now if I may, follow this as a backdrop and turn the call over to Michael to provide more details on our first quarter.
Michael Miller: Thank you Jeff and good morning everyone. We continue to make considerable progress in growing our revenue and improving our profitability. For the first quarter of 2015, our net revenues increased 22.7% to $129.9 million compared to $105.9 million in the prior year, which was mainly driven by an increase in volume in all of our end markets and additional benefits from higher average price per job due primarily to a more favorable customer and product mix than the prior year quarter. Our same branch single-family sales growth of 16.7% exceeded the 1.5% increase in single-family U.S. housing completion during the first quarter. This reflects strong market performance by our local branches and our well positioned geographic footprint. We believe adjusted gross margin excluding depreciation more accurately reflects the progress we’re making in our core operations. And for the first quarter of 2015 adjusted gross margin before depreciation expense expanded 150 basis point to 28.8% from 27.3% in the prior year quarter. This improvement was primarily due to operating efficiencies and a more favorable customer and product mix than the prior year quarter, which was partially offset by some material price inflation. On a GAAP basis, we increased first quarter 2015 gross margin by 140 basis points to 26.3% compared to 24.9% in the prior year quarter. For the first quarter, selling and administrative expenses as a percent of net revenue was 23.4% for both the 2015 and 2014 periods. Higher revenues offset additional costs associated with being a publicly traded company. In addition, we have not yet experienced the full benefits to leveraging SG&A in the March 2015 acquisition of BDI Insulation. We expect SG&A expense as a percent of net revenue to continue to improve over time, as we further scale our operations and benefit from higher revenues as our end markets continue to improve. For the first quarter of 2015, we improved our adjusted EBITDA to $7.6 million, representing an increase of 78.9% from $4.2 million in the prior year. As a percent of net revenue, our adjusted EBITDA improved to 5.8% in the quarter, representing a 180 basis point increase from 4% in the prior year quarter. We are pleased with the successful steps we have taken to enhance our operating efficiency and significantly expand our adjusted EBITDA margin. As Jeff stated earlier in the call, historically the first quarter is seasonally impacted by lower sales volumes and a less favorable mix of business and represents about 20% to 21% of full year revenue and 10% to 11% of annual adjusted EBITDA. Our incremental EBITDA margin was 13.9% in the first quarter of 2015. As a reference, first quarter 2014 incremental EBITDA margin was 14% but for the full year, incremental EBITDA margin was 21.7%. From an annual perspective, we continue to believe our financial model can produce incremental EBITDA contribution margins consistent with the prior year. In a first quarter of 2015, our effective tax rate from continuing operations was 45.2% compared to 46.6% in the prior year quarter. Based on the various entities within our corporate structure, we typically experience a higher effective tax rate during the first quarter to do evaluation allowance related to losses in certain of these entities. Annually, the quarterly trend in the effective tax rate will improve with possibility and we would expect a full year effective tax rate of 37% to 38%. For the first quarter of 2015, adjusted net income from continuing operations was $1.4 million or $0.05 per diluted share compared to $0.1 million or $0.01 per diluted share in the prior year. On a GAAP basis, for the first quarter of 2015, net income was $1.2 million or $0.04 per diluted share compared to a net loss of $19.5 million or $0.76 loss per share in the prior year quarter. The 2014 first quarter GAAP net loss included the impact of accretion charges on redeemable preferred stock of minus $19.5 million or $0.76 per diluted share. The redeemable preferred stock was redeemed in full for the portion of the proceeds from the company’s February 2014 IPO. Now moving on to our balance sheet and cash flow. At March 31, 2015, we generated $6 million in cash flow from operations, an increase of $1 million from prior year period. We used this cash flow and debt to fund acquisitions; reinvest in our business and repurchase 315,000 shares for our common stock. Through the first quarter of 2015, depreciation and amortization expenses totaled $4.3 million which was 3.3% of net revenue. Net capital expenditures are $5.7 million represented 4.4% of net revenue and new capital lease obligation of $509,000 was 0.4% of net revenue. During the fourth quarter of 2014, we shifted our approach dismantling [ph] our fleet by utilizing vehicle and equipment loans which allow us to purchase vehicles with similar economics to capital leasing but in a more tax efficient manner, allowing us to benefit from the depreciation for tax purposes. At the end of the first quarter, we had total cash of $6.3 million. On April 28, we entered into a new five-year $200 million senior secured credit facility with an accordion feature that allows company to increase the borrowing capacity to $225 million subject to certain approval. The credit facility consists of a $100 million revolving line of credit; $50 million term loan; and a $50 million delayed draw term loan. Borrowings under the senior credit facility bear interest at a rate of LIBOR plus the spread of 125 to 225 basis points depending upon IBP’s leverage ratio. The new credit facility is available for general corporate purposes and growth initiatives and replaced the company’s prior $75 million revolver and $25 million term loan. This extended credit facility provides us with an attractive source of capital and further enhances our ability to continue growing our operations in select markets across the United States. With the strong capital position and asset light business model, we have significant financial flexibility to continue investing in our business and capitalizing on the attractive growth opportunities in front of us. I will now turn the call back to Jeff for closing remarks.
Jeff Edwards: Thanks Michael. Looking at the remainder of 2015, we continue to be extremely optimistic on our prospects for performance in growth above the rate of improvement in U.S. new residential construction, especially after the start to the year. We believe the second quarter will show quarter-over-quarter improvements to revenues and margins as volumes and mix show seasonally increases. In addition, we are working on integrating the two acquisitions we made so far this year, specifically the $36 million acquisition of BDI Insulation. We have a robust pipeline of attractive acquisition opportunities and have increased our capital position to help fund our acquisition strategy. With the strong infrastructure and management team in place, we are well positioned for long-term profitable growth. Now operator, would you please open up the call for questions?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. Our first question is from Susan Maklari of UBS. Please go ahead.
Susan Maklari: Can you first talk a little bit about may be the net during the quarter between larger builders and some of the smaller private ones that you tend to work with as well?
Michael Miller: Sure Susan, this is Michael and that’s a good question. It’s something that we’ve talked about on other calls in terms of the improving mix as it relates to some of the smaller and regional builders relative to some of the national builders. We have continued to see a good positive trend within that smaller and regional builder base which we think is positive for the long-term recovery of the housing market. But I would say in the first quarter, we did continue to see good strength from the national builders as well and feel very good about kind of mix of business that we have with both the national builders and the local and regional builders right now.
Susan Maklari: And then on the leverage that definitely came up in the first quarter, can you talk about how high you would be willing to let that, or how much you would be willing to let that increase in order to do more acquisitions and how focused will you be on may be paying some of that down also here?
Michael Miller: Yes, that’s a great question. And as you saw, we did enter into a new credit facility which we believe makes a lot of sense to provide us the additional capital to continue to go and do acquisitions at this point in the cycle. So, as we said in the past, I mean we are comfortable taking on because we are we believe fairly really levered at this point. We believe we have the capacity to take on more debt to do accretive good disciplined acquisitions at this point in the cycle. So, as we continue to look forward, we’re comfortable taking on additional leverage from where we are now which is below 2 times. Again for the right acquisitions, because as we continue to grow and we believe we are going to continue to grow EBITDA that leverage comes down very quickly from a debt-to-EBITDA perspective.
Operator: Thank you. Our next question is from Nishu Sood of Deutsche Bank. Please go ahead.
Nishu Sood: And first question, I just wanted to clarify the seasonal commentary you gave about the first quarter versus the rest of the year is very helpful. But you said a few things and they aren’t -- they are a little bit different. So I just wanted to clarify. You said 1Q EBITDA typically 10% to 11% of the full year and I think in your commentary you said that revenues are 20 to 21, is that the number you said?
Michael Miller: Yes, that’s correct. Yes.
Nishu Sood: So that implies revenues of kind of -- if we use the 1Q, 6.8 and 6.50 roughly, EBITDA of kind of 70 to 75, that’s an incremental EBITDAmargin of about 24%, 25% or so. But then you also said that you expect incremental EBITDA margins for ‘15 to be consistent with last year. And I believe last year was closer to like 21-ish. So just wanted to clarify which -- maybe some of my numbers are wrong there but just wanted to clarify what exactly you are trying to convey?
Michael Miller: We were really just -- we are not looking to necessarily provide guidance but what we just wanted to do is give a historical context for the first quarter results as they related to say 2013 and 2014, just give you and the market just more insight into the way that business works. I mean from a mathematical perspective which we did the math the way that you did it, that’s approximately where the math would come out. But again what we are just saying is if you look at it from historical perspective, historically revenue is 20% to 21% in the first quarter and adjusted EBITDA is about 10% to 11% of full year EBITDA. You are right about the incremental margins for last year, they were 21% 22%.
Nishu Sood: I guess just generally speaking then which of those statements should we be paying more attention to then?
Michael Miller: I would say both of them in terms of where they were historically and trying to provide a historical context as it relates to the first quarter results.
Nishu Sood: There has been a report recently that has made a wide range of claims about IBP. Just wanted to ask in this public forum, if you have any thoughts or if you have any comments about that?
Jeff Edwards: We’re obviously aware of that report and that article. And I guess what we would say is that everyone is titled to their opinion. The author was admittedly showed our stock, obviously all of us in the room here and the work that IBP feels differently, you wouldn’t be coming in everyday doing what we’re doing and are actually completely convinced that we do have a good business model and that we’re forming on everyday and feel great about the future in that regard. I don’t think anybody on the phone or likely anybody that owns our stock is unaware of the cyclicality of the housing business. So, I think that’s pretty obvious. I think that was obviously more than anything we see. [Ph] We have to think it’s a good business and we’re confident about our ability to perform with the business.
Michael Miller: And I think our first quarter results are highly reflective of that. In fact we performed both from an acquisition perspective in terms of achieving overall growth of 23% and then in our core single-family new construction market, experiencing 17% single-family growth relative to a market opportunity of only 1.5%. Now, we are very proud frankly of our ability and our company’s ability and all of the employees of the company’s ability to outperform the market opportunity that’s provided to us.
Nishu Sood: And hopefully this will be the last weather question you get for a while. But clearly, weather last year was a big topic of concern and ended up being a much smaller impact on your results in ‘14. Just wondering if you can comment about any potential weather impact in the first quarter, how; where; and if there were any weather, there would be any rollover impact into the second quarter?
Michael Miller: We continue to benefit, Nishu, from the fact that we have good geographies. And there were many parts of the country that didn’t experience severe winter weather conditions. And as a company, we don’t believe weather is an appropriate response relative to [indiscernible] as it snows every year in the North East. I would say that Massachusetts where we have decent amount of operations did experience a significant amount of snow. But that being said, we saw a growth in all of our -- all of the U.S Census Bureau region during the quarter. And we feel very good about the prospects of growth for the remainder of the year.
Operator: The next question is from Robert Wetenhall of RBC Capital Markets. Please go ahead.
Matt Bouley: Hi. This is actually Matt Bouley on for Bob. Thanks for taking my questions. So first, on incremental margins expectations this year. Number one, I’m wondering that target does not include acquisitions. I’m wondering if you could just clarify that. And then secondly just given that implies the 25% incremental margin for the reminder of the year, absence of the historical context that you’re talking about, what are you seeing the business now that gives you confidence that you’ll be able to achieve that kind of level of incremental margin performance for the rest of the year?
Michael Miller: That’s great question. And clearly the timing of acquisitions are always uncertain in terms of when they’re going to get completed and when they will add to incremental EBITDA margin but they clearly do because we get some SG&A leverage or G&A leverage as it relates to the corporate offices when we do acquisition. But keep in mind, acquisitions themselves do come with a considerable amount of G&A. So, we feel comfortable with continuing to maintain our perspective relative to incremental EBITDA margin, similar to last year. And yes, acquisitions can add to that and increase the level of the incremental EBITDA margin. But again, the timing of those acquisitions can always be uncertain as to when they’re going have an impact on financial results. Why do we continue to feel confident that we can do that is we’ve seen it historically our ability to do that and we feel very positive about the business. We’ve gotten off to a good start in the second quarter. And we believe there is positive momentum within the spring selling season when you look at the announced orders from the public builders and if you look at private builder surveys that have been done. We feel that there is a lot of positive momentum relative to particularly new single-family construction right now, which as you know is the largest component of our business and really is a driver of our business. And we feel confident in our ability to continue to grow at a rate that’s higher than the market opportunity as is evidenced by what we did in the first quarter. Growing at a rate of 17% compared to 1.5% growth in completion, we believe is indicative of what we have been able to demonstrate our ability to do.
Matt Bouley: And then secondly, I was just wondering if you could provide some additional color on BDI, so just how does the profitability for BDI compares to IBP and then what kind of organic growth has BDI experienced over the past year? Thank you.
Jeff Edwards: It is, Jeff. Michael is probably going to tag team on this one also. But there is no doubt that BDI is and was a highly profitable insulation installer as many of you probably know. We really don’t buy companies based on revenue, we buy companies based on earnings. So that might answer to some extent. It’s not an inexpensive acquisition for us but again it’s a profitable business. And in terms of year-over-year sales performance and kind of how the business is doing and we have I think high regard for the job that they’re doing. As you know, they’ve really only been kind of in the barn, so to say or roughly may be 45 days or so I think, I just don’t remember just right around in there. So, we are furiously doing what we do when we acquire a business and simulating all the folks and putting all of our systems in place. It’s obviously a big change at their level, less so probably at ours, but we feel great about it at this point in time. Michael, do you anything to add to that?
Michael Miller: Yes, what I would say is that their profitability is just that is higher than our typical acquisition which is reflective of general overall improvement in the market and also the markets that they participated in. And in terms of their organic growth rate, they have been relatively similar to our similarly situated branches. So, we feel good about not only their profitability metrics as well as their growth characteristics as it relates to our similarly situated branches and markets. So, it’s a good acquisition. And as Jeff said, we are working to fully integrate them and look forward to having them be part of IBP team.
Jeff Edwards: And one I guess further thing that’s somewhat related is if you look at the list of locations or at least states, you wouldn’t necessarily put some of those data in probably even some of the individual locations on kind of hit a list of places that you absolutely need to be. But as it relates to continued white space for us on a go forward basis, as it relates to acquisitions, some of the better markets that we are in are the ones that don’t really come to top of mind that we are particularly excited about this acquisition because it put us in places as a whole, as a group in a larger acquisitions that we might not have ever even ended up.
Matt Bouley: That’s really helpful. Thank you.
Operator: Thank you. Our next question is from Ken Zener of KeyBanc Capital Markets. Please go ahead.
Ken Zener: Again, you guys continue to lead with gross margin expansion. And as I just recall kind of the beginning of your story year, year and a half ago was really that you guys thought you would be getting a lot more SG&A leverage. So, the mix and the pricing to customers is probably ahead of schedule. If I recall, you guys said that was a bit later cycle versus earlier where we are now. Could you talk about perhaps or give us context to why the price mix is so reach right now? I know you talked about the private builder versus the public builder. Could you may be put it in context a little bit you know because it’s nearly half the organic growth just coming from pricing mix. Is this shift that pronounced or could you give us a sense per project, if it’s -- if you actually a better pricing than you were at the peak and the input costs are -- just kind of put that in context if you would because it’s so good right now that demonstrating a very good industry structure? Thank you.
Michael Miller: That is great question and a fair one and you are right. We are pleased with the improvements we are making on the gross margin. And it is a combination of both price and mix and also volume, volume that growth above the volume growth within the marketplace. What I would say is, is that there are couple of things impacting our job price. One, there is the improvement in energy codes; two, there is a shift in the product mix. One of the things that we are seeing right now is the highest growth rate right now that we are seeing within our products is home, which is higher average price per job, so that’s helping support the price product mix. We are because there is some price inflation on the material side, we are seeing price increases offsetting those material price increases. But I would say by no means are we at the peak in any way relative to where we were before from a pricing perspective or an installed per square foot basis. So, we still have we believe room to go and some improvement in gross margin. And we were pleased in the first quarter that not only were we -- that we see good labor improvements we also saw operating efficiency within the business which really drove the gross margin.
Ken Zener: And then if I look at the -- realizing you’re I think profitability framing your full year views to the EBITDA, could you perhaps talk specifically around the admin, fixed admin? Is that a level, should we expect to see that go up, the value that we saw or is that pretty fixed given your existing acquisition, roughly 22 million admin number. Is that terms for a good bogie for the year?
Michael Miller: That’s a great question; and it’s not because of acquisitions. The acquisitions will when we do a deal, the vast majority of G&A expenses are at the branch level and not at the corporate level. So as we do acquisitions, they obviously add G&A dollars, if you will, to that overall number. So, we do have a tendency to grow with both acquisitions and as we have additional support personnel within the branches to support revenue. But we do believe that we will continue to get G&A leverage in the business, again as we do acquisitions and as we continue to go particularly in the second, third and fourth quarters that have, historically have higher revenue than in the first quarter.
Ken Zener: And going back to perhaps my first question around the price and mix if we could because it’s quite strong right now. How would you think that price mix would change as we moved into kind of ‘16 and ‘17 as your business perhaps more excluding acquisitions to growth focused on more the industry unit volumes since you’re revenues are obviously in excess of that partly to the price mix. How should that normalize obviously and specially if there is more entry level home build? Just trying to understand the fact 7% plus price mix to go down towards zero or if you think that it’s going to be a couple points of price mix in there. Thank you guys very much.
Jeff Edwards: This is Jeff and Mike may want to add on also. But obviously we don’t have a crystal ball in terms of the go forward picture. But historically speaking as the market gets more robust and busier that is not a bad thing as it relates to price mix and the tendency; over the period of time that I’ve been in this business, history would say that’s probably a good thing.
Michael Miller: What I would say and obviously Jeff is absolutely right, we don’t have a crystal ball. But what most I think people’s forecast are relative to the housing market, it appears that we’re going to as we hit ‘16 and ‘17, the mix between single-family and multi-family is going to return to a more normalized rate. Our average price per unit on a single-family basis is considerably higher than it is on a multi-family basis. We are primarily a single-family business. If you look historically from ‘15, ‘14 and ‘13, it’s actually been a headwind for us relative to how large the multi-family has been as a percentage of total completion, their total permits and starts. So, we believe that going into ‘16 and ‘17, assuming we get to a more normalized kind of mix between single-family and multi-family that certainly increases our average price per job. And the other component to that is associated with as the -- and we believe this is continuing to happen as we said earlier in the Q&A is that the regional and local builders continuing to gain strength. And just by the nature of the product that they’re building, we have a tendency to have a higher average job price with those customers. So that will help the price mix as well. And then lastly, we would just add that energy code and the adoption of energy code there is continuing and that continues to add to the amount of pounds installed in a house which increases our average job price and we see that trend continuing.
Operator: [Operator Instructions]. Our next question is from Keith Hughes with SunTrust. Please go ahead.
Judy Merrick: This is Judy in for Keith. And just to clarify one more on your kind of yearly EBITDA context that you gave; it includes acquisition activity and just go back on BDI, even it is very attractive profitability, this also would have seen some cost savings in your outlook EBITDA for the year?
Michael Miller: Yes, that’s a very good question and our commentary around again first quarter 2015 as we did it more from a historical perspective as it relates to say 2013 and 2014 in terms of what it represented as a percentage of EBITDA and ‘14 had acquisitions ‘13 did have very much acquisitions, that has been historically an appropriate way to look at first quarter EBITDA. So going forward, as we do additional acquisitions, yes that will add additionally to both revenue and EBITDA on a go forward basis. But as we said, the timing of when we complete acquisition is always uncertain and the impact that it’s going to have on that year, it really has a greater impact on a full year that once we found an acquisition for the full year.
Operator: At this time I’ll turn the conference back over to Mr. Edward for any closing remarks.
Jeff Edwards: I have no closing remarks other than to thank all of you for all your questions and we look forward to our next quarterly update and conversation. Thanks again.
Michael Miller: Thank you everyone.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. And thank you for your participation.